Operator: Greetings, and welcome to the LiqTech International 2015 Second Quarter Financial and Operational Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Mr. Donald Weinberger. Thank you. You may begin.
Donald Weinberger: Thank you, Matt, and welcome to today’s conference call to discuss the financial results for the second quarter and six months ended June 30, 2015, and recent business developments. Aldo Petersen, Chairman, and Sune Mathiesen, CEO will begin their formal remarks shortly. Before I turn the call over to them, let me remind listeners that following the conference, there will be an open Q&A session. You should also note that a replay of this call will be available starting at 3 PM today and ending on August 27, 2015. To access the replay, please dial 877-660-6853 and enter the ID conference, ID number 13616802. To access number for the replay for the international callers, the number is 201-612-7415 and the ID number is 13616802. In order for all listeners to have the opportunity to ask questions, please limit your question participation initially to one question and one follow-up. After all individuals have had the opportunity to ask their question, you're welcome to ask additional questions. Now please bear with me for a minute as I read the forward-looking statements. The press release and conference call contain forward-looking statements. Although the forward-looking statements reflect a good faith and judgment of management, forward-looking statements are inherently subject to known and unknown risks and uncertainties that may cause actual results to be materially different from those discussed in the press release and conference call. We therefore urge all listeners to carefully review and consider various disclosures made in the reports filed with the Securities and Exchange Commission, including the Risk Factors that attempt to advice interested parties of these risks that may affect our business, financial condition and sales of operations and cash flow. If one or more of these risks or uncertainties materialize, or if the underlying assumptions prove incorrect, our actual results may vary materially from those expected or projected. We therefore urge all listeners not to place undue reliance on these forward-looking statements, which speak only as of the date of this release and conference call. We assume no obligation to update any forward-looking statements in order to reflect any events or circumstances that may arise after the date of this release and conference call. Having dispensed with that, it is now my pleasure to have Aldo Petersen, begin the conference call with his introductory remarks. Aldo, please proceed.
Aldo Petersen: Thank you very much Don, and very welcome, good morning, good afternoon ladies and gentlemen to this conference call. As posted today, it is a weak quarter as we announced in our June discussions around current business development in LiqTech. The organization and under Sune’s leadership have been working very hard on transforming the Company from a seller of DPF and a seller of membranes into a system application company and that has taken a lot of investments and a lot of focus from the Company. But as we discussed in our conference call in June, the effect of this strategy is starting to have a positive impact on LiqTech. Our order flow have increased quite significantly. Our impact in certain applications within the maritime, within the oil recovery, within the mining business has been quite significant in the second quarter. It is not notable in the revenue that we are posting today, but the order intake has been quite significant in the second quarter, and it gives us an optimism going forward, because we now are in production of a number of applications to PDVSA in Venezuela to our mining partner that we announced the biggest order of the Company’s history of $6.1 million and the maritime orders that we have received in the second quarter. As we announced in June, these orders are under construction and we are very comfortable in delivering those orders in the third and the fourth quarter. The impact on the business is that although it’s a very weak revenue number, we are also seeing the impact from a deteriorating revenue from the DPF business but as we announced in June, we have entered into a new business relationship in China. We have seen the first order of more than $800,000 for this market, and we feel comfortable that we will continue to see more business from China. We all have seen the impact of currency discussions and worries in China over the last couple of days, but we have a very firm agreement with our partner in China where we are delivering in dollars. So, the impact in China is not affecting the Company’s potential success in this market. We also now entering into very large solutions. Our solutions in the mining industry is a $6.1 million order. Our solution in the oil recovery business is a $2.4 million. And this of course makes us being very, very conservative in our approach, meaning that we have very large prepayments in these orders, we are securing that we are being paid up front, so that we can produce the difference systems and this is the reason why our cash situation for us is still comfortable because to deliver the systems and the orders that we have received in the second quarter will be backed by the agreements that we have with the different customers that we have so that we can build, deliver, and have a very good gross margin on the orders that we have received in the different application areas. I will now leave the conference to our CEO, Sune Mathiesen, to discuss in more detail our approach into the different markets and to give an outlook for how we are progressing with the applications that we’re now focusing on. Sune, please?
Sune Mathiesen: Thank you very much. Hello and good morning and good afternoon, ladies and gentlemen, and thank you for listening in. As discussed in our business update conference call in June, the first and second quarters of 2015 have been expectedly disappointing with regards to both revenue and results. Net sales for the second quarter was $1.7 million compared to $3.97 million in the same period in 2014. That represents a decrease of $2.27 million or 57.2%. The gross profit for the second quarter was a loss of $0.56 million compared to a positive of $0.85 million for the same period in 2014. That represents a decrease of $1.4 million. The net loss attributable to LiqTech for the second quarter was $1.79 million compared to the net loss of $0.76 million in the same period in 2014. That represents increase in the net loss of $1.05 million. As disappointed we’ve been about our revenues and results, equally encouraged we have been about our order inflow for the first half year. The first quarter order inflow of $5.8 million was the highest in any quarter in the history of the Company. The second quarter order inflow of $9.1 million set an additional record for the Company. The total order inflow for the half year amounted to $14.9 million. Our cash position as of June 30 was $3.1 million compared to $3.3 million as of March 31. In other words, our cash position is more or less unchanged despite the loss in the second quarter. The reason for this is the strong order inflow is not yet affecting the revenue but positively affecting the cash position due to prepayments. The significantly improved order inflow is a direct result of the turnaround process and focus on system sales to a number of applications where our technology has proven to be competitive and in many cases, superior to existing technologies. We believe that we have now come to an end of this turnaround and that the improved order inflow is a trend for the future. We have a very good visibility - sorry, the [Technical Difficulty] delivery times for systems is unfortunately much longer than for components and because of the longer lead time and the fact that we normally not able to recognize the revenue before the system is fully delivered is the reason why we will not see the order inflow from the first and second quarters turning to revenue to fall into third and fourth quarters. We have very good visibility in the next quarters and based on our current order backlog of more than $11 million and provided that we do not face any unforeseen delays beyond our control, we believe that the combined revenues for the third and fourth quarters could be more than $12 million. Our recent successes with the removal of heavy metals from applications within the mining industry from wet scrubber systems and power plants and marine applications and from industrial waste water systems are early stages results from the dedicated sales focus. We believe that we will see further orders of these applications in the coming quarters. We also expect the continued positive development for our DPF filters on the Chinese market. The number of enquiries and ongoing negotiations leads us to believe that this will be a very important part of our business moving ahead. The oil and gas industry has been very challenging for us in the past; however, after the breakthrough we had in Venezuela in January, we've experienced a renewed interest from this industry. We still have reasons to believe that the oil and gas market will finally be a more significant part of our business in the near future. Besides the performance from markets, we are still working very hard with our applications within the swimming pool market, drinking water and water reclamation. We believe that the record order inflows in the first and second quarters are the early stages results of our hard sales work and increased acceptance of our technology and our ability to supply complete systems to the market. We will continue our hard work to further develop the things within our focused educations. This concludes my remarks and I would now like to turn the conference to a short Q&A session.
Operator: [Operator Instructions] And the first question comes from the line of Eric Stine from Craig-Hallum. Please proceed with your question.
Eric Stine: Maybe just wondering if you can comment on obviously very strong orders for the first half of the year, kind of have you seen that continue in the third quarter and I know that large orders, that's something that’s tough to predict, but just kind of your base steady orders, have you seen it continue in the third quarter?
Sune Mathiesen: As you remarked Eric, the large orders - we are now having very large system orders and one order is a significant part of the revenue in a quarter. But yes, to answer your question, we have seen still continued strong order inflow. We believe it is a trend that will continue for the coming quarters. Our sales pipeline is still filling up. We have lots of potential and ongoing negotiations, so we have no reason to believe that there will be a stop in this order inflow.
Eric Stine: Okay, and that's good to hear. And then it's helpful you gave what you think the revenues will be in 3Q, 4Q. Just based on your commentary and some of the stuff in terms of revenue recognition, tough call, I mean is it fair to say that you think or that fourth quarter would likely be the biggest of the two quarters?
Sune Mathiesen: They will be very similar, but fourth quarter would probably be slightly bigger than the third quarter, yes.
Eric Stine: Okay. And I believe you’ve given a breakeven kind of a target in the past that would - I mean both those two quarters potentially are at that level?
Sune Mathiesen: Yes. In the past, we have mentioned a number around $5 million to reach a breakeven point, and with our current cost structure, that should not change too much.
Eric Stine: Okay. Then maybe just to clarify on cash, so it sounds like, I mean you’re structuring these so you get prepayments. So did the third, I’m sorry, the second quarter cap number, does that reflect a lot of those prepayments or is that something that we’ll see with the third quarter cash balance?
Sune Mathiesen: That is something that will be equally spread out. The very large orders did not affect second quarter, so that will affect the third and fourth quarters, also on the cash flow and on the revenue. But we have some impact from the orders we are delivering in the third quarter, already cash flow wise in the second quarter.
Eric Stine: Okay, but I mean that would seem to imply that you kind of think this is the low point for cash?
Sune Mathiesen: Correct, we have been at the low point. We've actually been building cash over the past weeks. So yes, we believe that this should be the low point.
Eric Stine: Okay. And then maybe just last one for me, just an update on Grundfos, I know you were targeting testing to be done in August September. Has that testing been completed or how is the performance and just did you get closer or how do you view the overall opportunity there? Thank you.
Sune Mathiesen: I am actually in the pivotal [ph] production right now and just inspected the Grundfos unit. It will go out this week and - for testing and testing period will be approximately four weeks before we know some results. So by mid-September, we should know the early stages results from that, but the unit looks great I must say.
Eric Stine: Okay. Thank you.
Operator: Our next question comes from the line of Joe Gomes from William Smith & Co. Please proceed with your question.
Joe Gomes: Hey, just revenue line that came in for the quarter I think was a little bit below expectations, and it was below my expectation, we've seen - we've heard that orders have come in, the order backlog is strong, the pipeline is looking good, but it just doesn't seem to be translating into revenues and I'm just trying to get a better understanding of what makes you guys feel comfortable that the turn has been made that the orders that we’ve constantly seen in the press releases and talking about the flow that's actually going to turn into revenue?
Aldo Petersen: I think it's a very valid question, Joe and just to give clarification and we do agree, it’s on the low point of our expectations, but when we look at our June quarter, the order flow in the maritime business that we have announced, because of our customer, it's not been possible to deliver the orders to the customer yet. We feel very comfortable that we are delivering these orders now, but yes, our expectations was related to that the orders in the maritime business would have been delivered in the second quarter. But it’s also a process in our strategy development of entering into very big orders where it's not just a question of having - LiqTech having been producing and finalizing an application, because when that application is done, it is also to enter into a very close cooperation with the company about the installation of the applications. And the learning process for LiqTech in this process is that this again is taking longer than we anticipate. We have concluded the production of certain applications, but the installation process and therefore the sign off by the customer is taking longer and therefore some revenue that we anticipated in the second quarter has been postponed to the third quarter. Therefore, it's very important to have a long, steady pipeline and the orders that we have announced in the second quarter and the order flow that Sune was describing are now being more than $14 million and building to that order flow will eliminate some of the very large doubts on when to recognize revenue, because remember that the application revenue has only been coming into the company over the last two quarters. Now, we are very focused, as a company, on the delivery and the delivery is going to be the highest priority for the company in the third and the fourth quarters, so that we can, not only recognize revenue, but also get paid so that we increase our cash position in the coming quarters and now having a focused sales organization around adding to order in these specific applications instead of trying to enter into new markets. We now feel that we have developed and have validation in some very significant applications and that will strengthen the ability - to have cash flow strengthen our ability to have a broad enough customer base so that we are not, as we have seen in this quarter, dependent on the fact, can we deliver two systems, which then would be maybe $600,000 to $800,000 more in revenue or does it come in the third quarter. This is the very, very focus that the company has right now, get and we think we have achieved that in the second quarter, have been achieved to have a significant order backlog, but now building into that order backlog will give us the ability to build quarter-over-quarter.
Joe Gomes: All right. Just circling back here, you talked about focused sales organization, I know a couple of quarters ago, we were talking about the building out of a sales force, and maybe you could just give us a little more detail on what’s been going on there? Have we been adding more sales people or so kind of in what areas or what market applications, are you still looking for more sales people and if you could just give us a little more update on that, I appreciate it.
Sune Mathiesen: We have been adding people into the sales force over the past nine months really. The people we added into the sales force are application specialists, so that means they come from go-to-market, they come from Singapore [ph] market and we have been trying to become this application specialists and I am happy to say that is working. We’ve seen that the customers feel that they get more qualified guidance from us and we are able to understand their whole process and not just our products and system. So that has been very successful. Moving ahead, of course we will be adding sales force as we progress, but we need - we’ll also be cautious not to build a very large organization because that makes no sense. So as we see orders come in, we will be adding people.
Joe Gomes: Okay. One more if I may, the swimming pool business we have talked a lot about that in the past, you guys didn’t really mention a whole lot of it here today. Just was wondering if you - I think it was in Denmark, there were some new regulations about pools, and we have been talking about the Ritz Carltons for a while, just for a while, I was wondering if you could just kind of provide a little more update on what’s going in the swimming pool business?
Sune Mathiesen: Absolutely, and I can assure we are not cutting [ph] out swimming pool business. With regards to the Danish opportunities, we see a lot of offers being made right now. We consigned with a lot of customers and it’s like everybody is waiting for somebody else to take the first steps. There are still around 300 pools to be retrofitted in the market before mid-2017, so that means in the next two years. We feel that for the Danish market, we are for sure one of the bigger players and we feel that we’ll get our share of the markets there. But it’s like somebody is waiting for somebody else to take the first move. And remember, most of these pools are municipal pools, so once we have one municipality with you; you’re talking about number of installations from that municipality. With regards to Ritz Carlton, we now know that delivery should be early in the fourth quarter of first fall in sales, they have been delayed in the construction of the hotels and we are one of the last ones to come in. And so that’s small update on that business.
Joe Gomes: Okay, thanks.
Sune Mathiesen: Thank you, Joe.
Operator: Our next question comes from the line of Edmund Stefan [ph] from Morgan Stanley. Please proceed with your question.
Unidentified Analyst: I have retired from Morgan Stanley. This week there has been a report of a terrible spill from a mine out in the Western US, polluting rivers and causing all kinds of problems and was caused by our own EPA. Is this the type of problem that LiqTech’s technology can be useful in ameliorating, and if so, has anyone contacted the EPA to see if you could be useful there, because that publicity might be helpful.
Sune Mathiesen: We have noted that there has been an accident and this is exactly what we are doing for all the mining company that we’re cleaning up the wastewater, removing the heavy metals, removing the chemicals before it is discharged into the sea. And we noted that there was this spill and we will be contacting the EPA over the coming weeks to make them aware that we have solutions for this and we will actually have a proven solution for it as well.
Unidentified Analyst: And what about -
Aldo Petersen: This is Aldo, just want to add to that answer and again understanding that when we talk about pollution, when we talk about measures to prevent, we are in the constant battle of having mandates from government going against the company’s interest in this. When we look at the experience from the biggest order that the company has ever had, the announcement of a $6.1 million order, this is clearly related to regulatory measures into a very specific market and the real work is to sort of get by all the regulative bureaucracy in focusing on what is happening when a spill like - unfortunately was experienced the past week. This has to tighten up into sort of tighter regulative bodies into preventing this to happen. But for LiqTech to really have benefit out of such an area of business, it takes regulatory involvement into this. So you’re absolutely right in the fact of trying to work and impact the EPA’s aspects into this. But even when EPA sort of goes into this, it needs to take it a step further so that we have rules and regulations of preventing this happening again. This is what we effectively have seen with the large order that we have. This is why expect to see more business coming out of these regulations over the coming quarters. But we are focusing very much on how we can our US operation - and remember we have a strong presence in Minneapolis, how can we get the focus from the EPA and regulative bodies in the US to focus into this and how can we impact. And I think the benefit that we had in the second quarter is that we now have an application that has been validated by a very large mining company and that validation can be used to present a solution to certain issues and this is exactly what we are going to do in the US as well.
Unidentified Analyst: Okay. Part of the question, is the technology applicable to the crisis at hand, can it do something to help cleanup these rivers?
Sune Mathiesen: No, that is far too much water you need to process and in order for us to build assist them would take too long for this incident. So what we offer is more solution for the future. Now, authorities get aware, this could be a problem and we could be a solution for that problem in the future. But to cleanup this spill, unfortunately this is not something that we have solution for.
Unidentified Analyst: Thank you.
Operator: Our next question comes from the line of Roger Liddell from Clear Harbor Asset Management. Please proceed with your question.
Roger Liddell: Yes, good afternoon, gentlemen.
Sune Mathiesen: Good afternoon, Roger.
Roger Liddell: I would like to drill down into the maritime opportunity, we have had only some piecemeal looks at it in the past. So I see separate opportunities, one of them loosely stated is propulsion and the other ballast or overboard discharges other than having to do with propulsion. The contract with the Yara and the embedding of your solution into their offerings is encouraging. But I don’t know whether it is applicable to steam powered ships, which are burning bunker oils or whether there is any applicability for what I believe is a rising number of diesel propulsion ships and whether there is anything from a scrubber to DPF opportunity there, and separately the - with the small footprint and the high flex of silicon carbine being able to create ballast underway, these appear to be very large opportunities that I can’t figure out what is what? So could you clarify please?
Aldo Petersen: Yes, absolutely. First of all, what we do with Yara Marine is that we clean up the exhaust from diesel engines and from small diesel engines you can actually use normal oversized DPF filter but for large diesel engines you will have the wet scrubber system, where you’re actually pouring or spraying water over the exhaust to take out the heavy metals and then we treat that water before it’s discharged into the sea. Predominantly, Yara working with cruise ships for example. With regards to the ballast water treatment, it’s kind of like the Danish swimming pool market; everybody is waiting for somebody else to take the first step. They all know that they will or they are facing regulation within a very short time and they know that they have to do something. However, nobody has really started to do so. Also, to treat ballast water underway you need a lot of certification, certification that we do not have. So we would need to team up with one of the certified suppliers into that industry or to team up with a ship owner who would actually sponsor that certification. We do have a number of interesting conservations with ship owners and that could led to a certification at some point but right now we have no certification to do so. What we can do with ballast water treatment and we are doing around the world is to actually treat it in the harbor, where they unload it from the ships and we would treat that ballast water before it’s disposed into sea.
Roger Liddell: All right, and on the Yara contract, the scrubbing of large diesels, that is a multi-year program I believe, what is available in terms of information about the duration, the magnitude of that opportunity?
Sune Mathiesen: Well, we know that each order is worth around $350,000 to $500,000. Until now, the share we have received five purchase orders for five systems, meaning about one a month until now. It’s an ongoing relationship, it’s an integrated part of Yara system, so every time they feel a system or customer, they would integrate our system into that.
Roger Liddell: All right, a follow-up is on the qualifications. Apparently, there is one NSF qualification yet to be obtained in the U.S. Have there been constraints on your marketing in the U.S. because of that lack and is that being addressed now?
Sune Mathiesen: We still lack the swimming pool NSF approval in the U.S. and yes, that has been restrained on our sales efforts in the U.S. We are in the process of obtaining that approval, unfortunately it takes a long time and we believe we’re coming to the end of that. The testing is all over, that has been done, and now we’re just waiting for NSF to issue that approval.
Roger Liddell: And is it forgone that it will be approved; you don’t when or is there still a question?
Sune Mathiesen: Well, it actually performed like it - the testing has been performed in our premises in Denmark with observation from NSF and that has gone according to plan. So, we have no reason to believe that we should not get substantial orders.
Roger Liddell: Good, thank you, I’ll go up back in the queue.
Sune Mathiesen: Thanks Roger.
Operator: Our next question comes from the line of Jim Kennedy from Marathon Capital Management. Please proceed with your question.
Jim Kennedy: Good morning, Sune.
Sune Mathiesen: Good morning Jim.
Jim Kennedy: I wanted to follow up with one of Roger’s questions regarding the Yara contract and the cleaning of the diesel engine output et cetera. Could you size up that market a bit for us and talk a little bit about the competition and then what is the legislation that prompted this approach.
Sune Mathiesen: Absolutely. The reason why we came into contact with Yara and why Yara has a business in this area is new legislation, that means that you need to clean your exhaust. So all cruise ships or large ships with diesel engines they will need to install wet scrubber systems if they want to sail internationally. This means that it’s a brand new market, just emerging, Yara Marine one of the first players in this market, but they have competition with different systems doing it in different way. But we believe that being one of the first movers, they have a good chance of securing very long part of that market and until now they have been very successful doing so.
Jim Kennedy: Okay, and what is your estimate of the size of that market in terms of number of ships?
Sune Mathiesen: Well, I read somewhere that there was a number of couple of hundred thousand ships that would actually need these installations. It, for sure, doesn’t mean that we will supply all of these ships, but we expect to get our share of it, and the program is a yearlong program, I believe and I’m not too sure but I believe that it’s before 2019 they have to comply with this new legislation.
Jim Kennedy: Okay. And once a ship owner decides that they’re going to proceed down that path, what is the, from the moment they decide to the moment that the system is fully installed, how long does that take?
Sune Mathiesen: That takes about 12 months.
Jim Kennedy: Okay. So really the ship owners have got to get started. And coming back to the legislation, when was that legislation passed and by whom?
Sune Mathiesen: The legislation was last year and it’s actually a multi-national, so it’s different countries around the world who had put this into force.
Jim Kennedy: And 2019 is the deadline?
Sune Mathiesen: 2019 is the deadline at least for the American legislation, I don’t know about European and other countries but I believe it’s more or less in the line with the American one.
Jim Kennedy: Okay. Looking forward, you said you had received five orders from Yara to-date. Any idea of the size of the market they feel they’re addressing, I mean are they in discussion with ten ship owners, a 100 ship owners, any visibility into the size of that market?
Sune Mathiesen: Well, what we know at this moment Jim is that they are successful in this market, they’re one of the first movers, they have secured a good part of that market until now. As to how many ships we could expect and so on, I’m sorry, we don’ know for sure.
Jim Kennedy: So, what you say is, they’re an earlier mover here, I’m guessing they’ve secured more than five ships, are you their only solution in this area, for Yara?
Sune Mathiesen: Yes, we are at this moment, yeah.
Jim Kennedy: So, in theory, whatever market share they obtain, it’s yours to lose?
Sune Mathiesen: Yes, correct. Exactly. And we’ll also - we would not limit ourselves to one supplier in this area, we would be happy to work with a number of suppliers into this industry.
Jim Kennedy: Okay and then secondly, switching gears over to the NSF approval in the U.S., when you obtain that what does that market look like and how do you go to market, is that basically any, let’s call it municipal size or commercial swimming pool in the U.S.?
Sune Mathiesen: That would be municipal size, would be commercial swimming pool with a lot of groundwork, we have a lot of connections on the American market already and so we believe that most of them are just waiting for us to complete the NSF tests and we did that already and obtained that NSF approval and then we’ll see orders flowing in.
Jim Kennedy: Okay, so you’re already exceeding the market, it’s just a matter of getting the approval?
Sune Mathiesen: Correct.
Jim Kennedy: Okay. Switching gears over into the mining industry to follow-up on the one gentlemen’s question. Could you explain us again obviously that was a large order for the company, what drove that, you said that there are some, let’s call it EPA or legislative issues, correct me if I’m wrong, I don’t think that contract was in the U.S. or what is that’s driving it internationally, what are you doing that other folks cannot do or cannot do as well as you can do it?
Sune Mathiesen: Well, it’s kind of the same that we’re doing in the marine industry, we’re removing heavy metals, we’re removing chemicals from the water before its discharged into the sea. We see a lot of environmental focus around the world in the mining industry, in marine industry, in industrial wastewater and so on. Why is our membranes so fit for this purpose? Well, we have a very robust membrane, meaning that when you have heavy metals, you have larger particles as well. They will seriously harm a polymer membrane, for example, reducing the lifetime of that polymer membrane where we have a very robust solution that will withstand those particles and not harm the lifetime of our membrane. So you could just say, our product, our technology is just perfectly fit for removal of the heavy metals and this is why we have a lot of enquiries, orders and so on from these industries, from the power plants, from marine industries, from the mining industry, it all comes down to the same thing. Our technologies just very well fit to take out heavy metals from water.
Aldo Petersen: And this is Aldo, I would like to add to this that what long-term investors have been seeing in LiqTech is that our ability to produce very good membranes have been the focus on the company, but when we have gone into very, very long testing periods, often years and years, the ability to turn that into other system application companies producing a system based on our membrane has been limited and we believe mainly to the fact that we are the only one, one of the few ones offering a silicon carbide membrane. When we look at our strategy change into system applications and especially looking into the mining industry, it has been very much the same, a very thorough, very tough testing period with this mining company, very extensive result focusing from these mining companies on what have our systems been able to produce. And in the end, after about nine months of testing, coming up to focusing that this application can do all their specifications, then ordering systems for $6.1 million is of course very gratifying, but also why we believe that we now have a much better business model, that we now have a system that doesn’t go into years of testing and then nothing happens, but a system application that goes into very extensive testing which is fair, because we are talking about very serious problems for the mining industry. But having done those testings and have been most certainly compared to other applications in the market and winning this order gives us the validation and now gives us the ability to do not enter multi-year of testing, but maybe only a three to six, maybe nine months of testing, because before we can deliver very large applications to customers. So what we have been seeing in the oil industry with PDVSA, what we have been seeing in the maritime business and what we have now latest been seeing in the mining industry is that we have applications that are being qualified for end business and that end business is giving us multibillion-dollar orders. So we have now entered into a space of business where we have the applications. It still needs to be tested, but the testing period is shorter, much shorter than we have experienced in the selling membranes to system integrators and now having proved in a combination of applications of maritime, of the oil recovery, of mining, we now have an application platform that we strongly believe in.
Jim Kennedy: Okay, thank you. Sune, I want to come back to that mining issue and I want to understand, in terms of that contract and I think Aldo referred - was referring to this, was there a break off between you and alternative technologies or alternatives approaches and again coming back to why you were selected and how you are different and the way this is traditionally done.
Sune Mathiesen: Yes, we actually did a three-month test before we negotiated for the main order. The test was very successful and they did just add another technology as well which was less successful in this application. And this brings me back to the fact that we have this robust technology which is so critical for this heavy metal removal and this is why see a major part of our businesses actually evolving around that. Other technologies are fit for a lot of other purposes, but this exact application is just a wonderful fit with our robustness of our membrane.
Jim Kennedy: Okay. And I am sorry, the follow-up to that is, what is the go-to-market strategy in this particular industry?
Sune Mathiesen: Well, we are approaching a number of mining companies around the world because we know that they may not be facing legislation right now, but in a very short period of time, they will be facing a new legislation which means that they have to clean that wastewater before they pump into the sea. So we expect that the European mining companies will be a potential for that in a very short period of time, but also North American mining companies will be a potential for that.
Jim Kennedy: And can we assume or can you comment on the pipeline in this area? You’ve obviously got the large contract, what does the pipeline look like at this point?
Sune Mathiesen: The pipeline looks promising, it’s building up and obviously we are using this huge reference as the proof of our technology. We have data supporting that now, so we really just started, but it’s really filling up quite quickly and we expect to see further orders for this industry within the coming quarters.
Jim Kennedy: Okay, thank you. I’m going to the duck out of the queue and let somebody else ask some questions.
Aldo Petersen: Thank you and I think we have room for one more question.
Operator: Next question comes from the line of Walter Schenker from MAZ Capital Advisors. Please proceed with your questions.
Walter Schenker: Just under the bell. Well, it is interesting to hear and encouraging to hear about the new programs and these new applications. We’ve spent years talking about programs with utilities in Germany or water - be it in the Arabian Peninsula or South America or other places. Can you just sort of explain what has happened to those programs and the orders that were hopefully coming and what were potentially very large markets?
Sune Mathiesen: Still ongoing. A lot of these things did not disappear. They are still ongoing. We learned a lot over the past years and in the time we’ve been in business is that things takes a lot longer than we expected initially. For example, the power plants you are referring to in Germany, it’s still ongoing, which is actually slower, quite a few of them already. And also the Saudi Arabian opportunities we are just in the process of finishing another test unit that will be shipped to Saudi Arabia within a few weeks. So still ongoing, we still expect to see business coming out of that. While we are waiting for that, we are out there trying to secure other businesses as well.
Aldo Petersen: This is Aldo. I know you have been really long term and you had been seeing sort of our hits and our misses. What I am comfortable about is that we now have, as you have heard in this conference, a good order inflow. The applications that we can actually build plus our focus on the Saudi Arabian opportunities and other opportunities that takes much longer than we have anticipated. But I think it is so important for our company that we now have a good order platform. We have a structure that can increase our cash flow over the coming quarters. And I think that focusing on applications from the majority of our sales force and engineers and continue to develop interesting applications into specific markets where we have spent years and years to develop relationships is bring us to a stage where that we don’t have any more to sort of shoot, what I would say, right, left and center, but now have a focused business area and applications where there are multimillion dollar orders available. That’s going to be the focus of our company and I’m very happy to see that after two very disappointed quarters that we now feel comfortable that the third and the fourth quarter combined will be good quarters for LiqTech.
Aldo Petersen: And on that note, I would like to thank everyone on participating in this conference call. I look forward to that we can now start deliver. And thank you so much for spending the morning and the afternoon with us. And you know that you can contact Sune or me if you have further questions. So thank you very much.
Operator: This concludes today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.